Operator: Good morning. Welcome to the Cognizant Technology Solutions first quarter 2009 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator instructions) Please limit your question to one per person. Thank you. I would now like to turn the conference over to David Nelson, Vice President of Investor Relations at Cognizant. Please go ahead, sir.
David Nelson: Thank you, and good morning. By now, you should have received the copy of the company's fist quarter 2009 earnings release. If you have not, a copy is available on our Web site cognizant.com. The speakers we have on today’s call are Francisco D’Souza, President and Chief Executive Officer; and, Gordon Coburn, Chief Financial and Operating Officer of Cognizant Technology Solution. Before we begin, I would like to remind you that some of the comments made on today’s call and some of the responses to your questions may contain forward-looking statements. These statements are subject to the risks and uncertainties as described in the company's earnings release and other filings with the SEC. I would now like to turn the call over to Francisco D’Souza, President of the company. Please go ahead.
Francisco D’Souza: Thanks, David, and good morning, everyone. Thank you for joining Gordon and me today for Cognizant’s first quarter 2009 earnings call. We're pleased to report strong performance during the first quarter, which exceeded our expectations. This is especially noteworthy in this difficult economic environment. That Cognizant continues to outperform the industry and key competitors demonstrate the relevance of our business model with a hybrid approach of strong client facing strategic teams and a robust delivery capability and value-added services. I’m also pleased to report that during the quarter, we climbed the Fortune 1000 list, where we now ranked 716th amongst US companies based on revenue, an improvement of 143 positions over last year. I would like to take this opportunity to thank all of our Cognizant employees across the world that have worked so hard to help us achieve both these accomplishments, the Fortune recognition, and the business model that has yielded the quarter. During this call I’ll give a quick overview of our results, ahead of discussing our business model and our strategy in detail. Gordon will then cover the numbers and the operations in more depth. Turning to our results, during our last earnings call we guided to first quarter revenue of at least $735 million. We’ve exceeded this guidance with revenue for the quarter of $745.9 million, which is a slight decline on a sequential basis, and up 16% from the first quarter of 2008. Performance overall came in slightly better than we expected, and the trends in each our business segments were consistent with our view from a few months ago. The principal factor impacting our Q1 performance across all segments was that, as we said on our last call, clients took longer to finalize their budget than in prior years, which resulted in the slow start for the year. Turning to industry segment performance, as expected, our financial services segment declined by 2% sequentially for the quarter and grew 15% year-over-year. Within the financial services segment, on a sequential basis, banking and financial services declined, but insurance grew through a combination of new client wins and a number of existing clients taking on new services from us. As we said in the past, our BFS segment is well diversified across insurance, core banking, and conduction processing firms, and this diversification helped smoothed the overall performance of the segment as we saw again this quarter. Healthcare was effectively flat sequentially, and increased 19% year-over-year. Retail, manufacturing, and logistics was also effectively flat sequentially but up 26% compared to Q1 of 2008. And finally, our other segment which includes communications, information, media and entertainment, and high technology increased 1% sequentially and 9% year-over-year. In terms of geography, North America declined 1% on the sequential basis and grew 16% year-over-year. Revenue in Europe was flat on a sequential basis and up 12% on a year-over-year basis. Asia continues to be an area of focused investment for us, and we’re poised for a healthy growth here in 2009. During the quarter, we added a net of approximately 2,000 employees and finished the quarter with 63,700 employees across the globe. Employee attrition was 8.3% for the quarter which is our lowest since the fourth quarter of 2001. Next I would like to address the continuing effects of this economic downturn. While none of us can predict how long it will last, we did see some early signs of stabilization within our banking and financial services client base. We also saw and majority of client’s budget finalized and while this process took longer than it has in prior years, and while many budgets have flagged down, spending has not disappeared, and importantly our clients are clients are continuing to spend on offshore services. Clearly, given the environment, clients are spending more carefully. However we believe that there remains opportunity for us and we’re investing and adapting to ensure that we can seize opportunities that are out there. Despite the downturn, we believe Cognizant will continue to grow as our guidance suggests. Demand for application maintenance and other services focused on cost containment such as IT infrastructure services and business process outsourcing should remain relatively strong as client’s focus increasingly on cost control. Also, given the secular changes in our client’s industries, which I will discuss shortly, we have seen signs that demands for transformational services is likely to continue. I think it’s worthwhile discussing what differentiates us, and why we feel confident guiding towards continued growth. Ahead of doing so, we need to examine Cognizant within the context of the broader industry that we are operating. There are significant changes underway within our industry, and these changes are primarily driven by significant changes that our clients are facing in their industries. For our clients, this period represent the time of significant change. The years prior to this recession were years of growth, profitability, and relative stability in the industry that we serve. The economy, the geopolitical environment, our client’s industries, their business models, and their technology architectures were all relatively stable. Now we’ve seen clients grappling with change in many of these elements. Thus, this is not a time of just cyclical change resulting from an economic slow down. This is also a time of secular change when many of our clients are now realizing that their businesses and supporting technology environments have to be re-thought and changed dramatically in order to navigate through this period. For example, unprecedented pressure is being placed on life sciences companies to increase research and development productivity, reduced cost, and reinvent long held business models in order to revitalize profits and build lasting shareholder value. Similarly, media companies are facing pressures to streamline their business processes and transform legacy technology in order to keep up with the demand and revenue generating opportunities an increasingly digital media world presents. These types of client changes are driving changes within our own industry. The traditional areas which the offshore industry has considered key differentiation are no longer differentiated. To be clear, traditional global offshore operational excellence is more necessary than ever, but is no longer sufficient. The client, this is just table (inaudible), an entry point into the game. What client’s are really looking for, and Recognizant provides significant value, is in re-architecting client business models and technology foot prints to reduce cost and to address the changes in their industries. Clients are looking for services forms that have deep domain expertise, strong on site presence, and well-honed relationship management skills so that they can customize and implement tailored solutions, specific to each client. Therefore, we have found that in this recession, is in effect highlighting Cognizant’s strengths in industry inside domain knowledge and relationship management, three of the most important ingredients for success in this market. Another aspect of the changing nature of demand from clients and the resulting impact to our industry is the globalization of our client base. On the demand side, our clients are driving this as they increasingly globalize their businesses, and need a global firm with infrastructure around the world to help them. This is also being driven on the supply side by the continued focus of firms to find the best challenge for an ever increasing range of services such as IT infrastructure services and business process outsourcing, regardless of where that talent is based in the world. This globalization of supply and demand has evolved our delivery model from a point-to-point model to a many-to-many model, where we are often being called to deliver from many locations in world to client locations in many other parts of the world. This type of many-to-many delivery model or atomic globalization is very different from the models of the past. When delivery moves to this atomically global model, operational complexity of project management and program management grows exponentially. In addition, critical knowledge becomes highly fragmented across the globe, leading to the need for radically new approaches to knowledge management. Finally, given the extraordinary sets of issues that clients face today, we need partners who not only understand the issues they face, but also how to make change in the context of their businesses and their industry. The partners that can do this are the ones that have great client relationships, higher retention rate, and a stronger likelihood of continued growth. Client intimacy in our business has perhaps never been so important and relevant. We believe that Cognizant is well positioned to help clients when viewed against this backdrop of change in our industry. As I mentioned a moment ago, three of the most important ingredients of success in this market are industry insight, domain knowledge, and relationship management. All three of which play directly to three of our strengths. However, in order to maintain our edge and to continue to grow, it’s imperative that we continue to invest in our business in order to continue to build the capabilities that will allow us to be successful in the long run. As a result, in our approach to navigating the slow down, we’re balancing two objectives, investment in our business and focus on operational excellence. We have an active program to focus on operational excellence across the company. We talked to you in the past about our continued drive to increase utilization, which is just one element of our operational excellence program. We’re also focused on effectively leveraging our purchasing power as well as optimizing the infrastructure and other investments that we made during the period of Cognizant’s hyper growth over the past few years. By focusing on operational excellence and by maintaining our historical approach of delivering non-GAAP operating margins in our target range of 19% to 20%, which as you know, excludes the impact of stock-based compensation expense and related non-cash in their fringe benefit tax expense, we feel we have the tools to focus on our first objective, which is investment in our core business. We invest in our business to ensure that we continue to build capabilities that differentiate us, and in times of economic crisis, it is more important than ever that we stay the course. In fact, because of our strategy of reinvesting in the business, we’ve been able to invest tens of millions of dollars into the development and acquisition of additional value for our clients. The reinvestment we made during the 2001-2002 recession played a major part in fuelling the unprecedented industry leading growth for Cognizant beginning in 2003. Through ups and downs in the economy, through several waves of technology transition, our business model has stood the test of time as we have demonstrated yet again this quarter. Just as important as our reinvestment strategy is where we are making our investment. Because of declines in industry trends I discussed earlier, we‘ve chosen in four areas of focused investment. Combined investment in these areas has greatly enhanced our ability to re-architect our client’s business models and technology foot prints to reduce their cost as well as address changes in their industries. The first area we’re investing in is in Cognizant 2.0, an online virtual work space that has improved our operations significantly and underpins the strength of our global delivery model. This new platform, which over 50,000 of our employees are now actively using, addresses three key challenges in our industry, getting the best talent, the best practices, and the best knowledge all delivered seamlessly and instantly to any client situation, regardless of where the client or the consultants are located around the world. This new platform has led to a truly global delivery model; heightened levels of collaboration across the world; increased quality, productivity, and efficiency; better quality of work; and enhanced employee engagement and customer satisfaction. It has united employees from across the globe and led to fundamental shifts in the way we deploy our knowledge management. We have 300 people quoting this platform, and we’ll continue to invest in this technology, which is reaping benefits for us across the board. By tapping into Cognizant 2.0, both our associates and our clients have an infrastructure in place, which enable to find the right knowledge and resources wherever they may exist. Secondly, we believe client engagement is of fundamental importance. Therefore, we are heavily focused on relationship management. For this end we have almost 750 account managers and client partners. This strategy of investing in front-led client relationships has proven itself out to us. Rather than pulling back during the down turn, we continue to invest in the interest of our clients, to be there for them. Third, we continue to focus on new geographies and service lines. We continue to build out our foot prints in capabilities in Europe. We are increasing our focus on Asia, including the market of India, where we’ve seen early traction. And we’re exploring other emerging markets of the world such as Latin America and the Middle East where we have some presence, but we think these geographies present significant opportunities and we are underrepresented. Our service lines are continuing to expand and we’ve seen momentum in business process outsourcing and Cognizant’s business consulting. Testament to the value of our reinvestment in service lines is being named a leader in global infrastructure outsourcing by Forrester last month. The Forrester study evaluated and ranked Cognizant’s IT infrastructure services on the basis of comprehensive methodology across 31 criteria, as well as an additional 25 item reference client survey relating to current offerings, strategy, and market presence. Cognizant IT infrastructure services received the highest possible scores for client feedback on service quality, customer value proposition, and vision, and investment to support our growth strategy. Finally, our Cognizant Business Consulting or CBC practice has continued to expand over the years and has become a key component of our strategic agenda. We realized early on that providing great off shore capabilities was not enough and that we needed high levels of business expertise combined with deep technical experience to properly serve the demands of our client base. As part of this effort we have made a number of strategic hires to fill key leadership roles in the CBC team. Our vision is to move the beyond technology or delivery role and position Cognizant as a transformational partner who can drive powerful thought leadership. We currently have over 1,700 consultants, and their technical expertise combined with industry knowledge has led to a powerful combination where the pillars of business operations and IT align. We believe that our integration of consulting within our global delivery model will be a true differentiator for us. These investments have allowed us help our clients adapt more easily to industry trends, enhancing their operations and efficiency. I’d like to now talk about a clients’ example in some detail. We recently completed work for the National Health Insurance Company of Daman, a leading health insurance company serving over 1.7 million customers in the Middle East. With the Emirate of Abu Dhabi mandating health insurance coverage for expatriates and nationals, Daman saw an opportunity to transform the way that health insurance was provided by launching the first online health insurance portal providing around the clock access to insurance policy records and claims. The introduction of an online portal marks the fundamental change in the company’s business. By changing the way their insurance policies are subscribed to, processed, and updated and by enabling online functionalities such as enrolment claims and reimbursement submissions as well as changes to policies, we’ve helped Daman transformed their business model and processes, create operational efficiencies, and increase their market share. It’s no coincidence that we were able to do this work effectively for our clients as a result of the thought leadership and the industry experience that we have gained from serving health insurance companies for more than a decade in many other parts of the world. Let me just close by saying that we remain confident in the resiliency and capability of our business model and we will stay focused on our goals of generating cost savings alongside investing in the business. This has served us well over the years and we remain confident in this approach. Now I’ll turn the call over to Gordon, who’ll walk you through our financial and operating results in greater detail. Gordon?
Gordon Coburn: Thank you, Francisco, and good morning to everyone. I’d like to provide some additional information on the first quarter and then discuss our financial expectations for the second quarter as well as full year 2009. Revenue for the first quarter exceeded our prior guidance due to better than anticipated performance by several of our segments. Quarterly revenue declined 1% sequentially but grew 16% year-over-year. During the first quarter our financial services segment, which includes our practices in insurance banking and transaction processing, grew by $30 million – $39 million year-over-year and represented 44.4% of revenue for the quarter. Healthcare grew by almost $30 million and represented 25.4% of revenues. Retail manufacturing and logistics grew by $25.6 million, representing 16.5% of revenues for the quarter. The remaining 13.7% of our revenues came primarily from other service-oriented industries of communications, media, and high technology, which grew by over $8.5 million compared to Q1 of last year. For the quarter, application management represented 55% of revenues and application development was 45%. Application management grew 24% year-over-year at four tenths of a percent sequentially. Development grew 7.5% year-over-year and was down 2.6% sequentially. The continued strength in application management, we believe, was driven by clients seeking to optimize efficiency on non-discretionary spending items due to budget concerns. As Francisco mentioned, during the quarter almost 80% of revenues came from clients in North America. Europe was approximately 18% of revenue and just over 2% came from Asia Pacific, Middle East and South America. Our European business was flat sequentially and grew 12% year-over-year for the quarter and that includes a significant impact of currency both for the quarter and the year. European revenue growth was negatively impacted in the first quarter versus Q4 2009 by approximately $5.4 million due to the significant depreciation for the quarter in the average rate of the British pound versus the US dollar. On a constant dollar basis, Europe grew 4% sequentially versus being flat on a reported basis. We had gross additions of 57 new clients during the quarter. We closed the quarter with 560 active clients, a net decline of 7 clients due to client consolidation and the elimination of some very small accounts. During the quarter, the number of accounts which we consider to be strategic and have the potential to ramp up to at least $5 million to more than $50 million in annual revenue, increased by 1. There were 6 additions, however three of our strategic banking clients were consolidated into other existing Cognizant clients and we had two small strategic clients that ramped down due to extreme financial difficulties. This made our total number of strategic clients to 129. Turning to costs, on a GAAP basis, cost of revenues exclusive of depreciation and amortization increased about 14.6% for the quarter as compared to the first quarter of 2008. First quarter cost of revenues included approximately $4.3 million of stock-based compensation expense, as well as a $187,000 of stock-based in the fringe benefit tax expense, which we recovered from employees. Due to the weak stock price during the first quarter, the number of options exercised continued to be lower than usual resulting in a lower than anticipated stock-based fringe benefit tax expense for the quarter. The increase in cost of revenues is primarily due to additional technical staff, both onsite and off shore required to support our revenue growth. We increased our technical staff by 1,800 during the quarter and by over 5,000 compared to March 2008. We ended the quarter with approximately 59,500 technical staff. First quarter SG&A, depreciation and amortization expenses were a $188 million on a GAAP basis, up from $165.1 million in the first quarter of last year. GAAP SG&A expense in Q1 2008 – in 2009 included approximately $7.5 million of stock-based compensation expense and $750,000 of fringe benefit tax expense. GAAP operating income for the quarter increased approximately 23.7% to $138.1 million from $111.7 million in the first quarter of 2008. On a non-GAAP basis, which excludes the impact of $11.8 million of stock-based compensation expense and $945,000 of fringe benefit tax expense, operating income for the first quarter was $150.8 million of 20%. Our GAAP operating margin was 18.5% for the quarter and our non-GAAP operating margin, which excludes stock-based compensation expense and fringe benefit tax, was 20.2% for the quarter, slightly above our target range of 19% to 20%. The average rate of the rupee was 49.6 in the first quarter versus 48.5 in the fourth quarter of 2008 and 39.7 in Q1 of 2008. $82 million of rupee cash flow hedges expired during the first quarter at an average rate of 49.34. These resulted on a loss on expiring hedges of approximately $1.3 million. This loss was recognized in our operating expenses. For the remaining three quarters of 2009, we have outstanding four contract hedges for $268 million of rupee operating expenses at an average rate of 49.47. Interest income for the first quarter was $2.5 million, compared to $6.2 million for the first quarter of 2008 and $5.8 million in the fourth quarter of last year. Interest income declined quite substantially due to the continued decline of short term interest rates. We had a $5 million net foreign exchange loss during the quarter related to our balance sheet primarily due to the strengthening of the US dollar versus the British pound, euro, and rupee. This loss is recognized in non-operating income. Our GAAP tax rate for the first quarter was 16.5%. We expect the 2009 tax rate to be approximately 16.5% excluding one time or discrete items. As previously discussed, certain of our tax holidays are currently scheduled to end in March 2009, and we expect our tax rate to increase – in March 2010, and we expect our tax rate to increase in 2010. We expect to minimize this increase with the implementation of our new facilities located in special economic zones. These special economic zones are not subject to income tax for the first five years of operations and reduced rates for ten years thereafter. Our GAAP tax rate can vary based on the extent of stock-based in the abridged benefit tax expense. Since such expenses are recovered from employees and therefore not eligible for tax deduction. Our diluted share count for the first quarter was 298 million, basically flat from $297.6 million in Q4 2008. Late in the fourth quarter of 2008, we announced a $15 million share repurchase program. We repurchased 650,000 shares during the first quarter of this year at an average price of $19.14 for a total cost of $12.4 million. Turning to the balance sheet, our balance sheet remained very healthy. We finished the quarter with just over $969 million of cash, short term and long term investments, up almost $45 million from the December 31st 2008.During the first quarter, operating activities generated approximately $75 million of cash. Financing activities used approximately $2 million of cash comprised of the proceeds of option exercises and related tax benefits as well as our employee stock purchase program largely offset by $12.4 million in share repurchases. In addition, we spent approximately $20 million on capital expenditures during the quarter, and $1.3 million toward the acquisition of Canadian-based Active Intelligence, which was discussed on our prior earnings call. In 2009, we expect to spend approximately $175 million on capital expenditures. The substantial majority of which is related to the previously announced construction and equipping of additional development facilities to support our growth. Based on our $600 million balance on March 31st, we finished the quarter with a DSO including unbilled receivables of 72.5 days, compared to 73.5 days for the same period in 2008 and up from 70.8 days in the fourth quarter of 2008. During Q1, excluding unbilled receivables, our DSO was approximately 63.5 days. The quality of our receivables portfolio remains strong. Our unbilled receivables balance was approximately $73.4 million at the end of the first quarter, an increase of $6.6 million were 10% from March 31, 2008. Approximately 57% of the March 31st unbilled balance was billed in April. During the first quarter, 29.1% of our revenue came from fixed price contracts up from 27.8% in the fourth quarter of 2008, and up from 26.8% in the first quarter of 2008 and 27.8% in the fourth quarter. When we look at the mix by solution type during the first quarter, 34% of our development and 26% of our maintenance revenue came from fixed price contracts during the quarter.Turning to head count, at the end of the first quarter, our worldwide head count including both technical professionals and support staff, totaled approximately 63,700. This represents a net increase of approximately 2,000 people during the quarter. As Francisco mentioned, turnover, both voluntary and involuntary was approximately 8.3% annualized during the first quarter. First quarter attrition represented a 410 basis point improvement versus the first quarter of 2008. Attrition also improved by 320 basis points when compared to the fourth quarter of 2008. We believed the decline in attrition is a result of the current economic conditions, as well as timing of our annual bonus pay-offs. As we discussed previously, our strategy is to increase the company's utilization levels due to scaled economies and historic heavy over investment and bench resources. However, due to the revenue decline in Q1 and our decision to continue to recruit top talent, utilization declined slightly in Q1.Off shore utilization was just under 64% for the quarter. Off shore utilization excluding recent college graduates, who were in our training program during the quarter, was approximately 68%. On site utilization was approximately 88% for the quarter. At the end of Q1, we had approximately 2,700 unbilled people remaining in our training program. I'd now like to comment on our growth expectations for the second quarter of 2009, as well as the full year. The investments we are making continue to produce results. It is allowing us to differentiate ourselves in the marketplace, both in terms of winning and growing new clients, expanding our service offerings, and strengthening our geographic presence. In addition our client-employee satisfaction levels remain at a level that which we are proud. This has resulted in strong operating performance for Q1, and despite the economic uncertainty, continues to provide us with a strong foundation for growth in 2009. For the second quarter of 2009, we are projecting revenue of at least $760 million. This represents expected sequential growth of at least approximately 2%. We continue to have significant revenue visibility due to our high level of recurring revenue and the long term nature of our customer relationships. In fact, today we have customer commitments for well over 90% of our second quarter revenue guidance. For the full-year 2009, we continue to expect industry leading revenue growth. Based on current conditions and client indications, we are maintaining our prior guidance and expect revenue of at least $3.1 billion. This represents growth of approximately 10% compared to 2008. As has been typical in prior years, we expect the majority of our growth for 2009 will come from the ramp-up of clients we’ve won on the last few years. During 2009, we intend to continue to closely monitor our spending, and expect our operating margin to remain in our historic range of 19% to 20% before the impact of equity-based compensation expense and related fringe benefit taxes. This expected level of revenue growth and our expected operating margins, we are currently comfortable with our ability to deliver in Q2, GAAP EPS of $0.37, and non-GAAP EPS of $0.42, excluding the estimated stock-based computation of fringe benefit tax expenses of $0.05. This guidance excludes anticipation of a Q2 share count of approximately 302 million shares, a tax rate of 16.5%, and an operating margin within our target range of 19% to 20% on a non-GAAP basis. For the full year 2009, based on current business trends, we expect GAAP EPS to be at least $1.53, and full year non-GAAP EPS to be at least $1.71, excluding estimated stock-based compensation and fringe benefit tax expense of $0.18. This guidance includes anticipation of a full year share count of 303 million shares. Our full-year guidance has been adjusted from our prior guidance only to reflect a $0.01 non-operating FX loss we experienced in the first quarter. As previously stated, our original guidance excluded any non-operating FX gains or losses during 2009. In addition, interest income will obviously be lower than we originally modeled for the remainder of 2009 due to the further drop of short term rates since the early part of this year. This has been factored into our guidance as being offset by slight increase in planned operating margins, but still well within the 19% to 20% non-GAAP range. Due to the continued volatility in the currency markets, our current second quarter and full-year EPS guidance excludes any future non-operating foreign exchange currency gains or losses. And finally, please remember that the accounting for the recoverable stock-based in the abridged benefit tax expense as a level of complication in forecast in GAAP operating expenses. This GAAP expense is driven largely by employees’ decision to exercise his or her options, which is obviously difficult to predict or control. We’ve put in a placeholder in our GAAP guidance, but the actual level of option exercises are dependent on many factors, including our stock price in the given quarter. Now, we’d like to open the call for questions. Operator?
Operator: Thank you. (Operator instructions) Your first question comes from Tien-Tsin Huang with JP Morgan.
Gordon Coburn: Hi, Tien-Tsin. How are you?
Tien-Tsin Huang – JP Morgan: Hey, Gordon. Thanks. Nice quarter for sure. I just want to ask about the outlook given the strong start. Actually the second quarter growth expectation is pretty consistent with what you suggested in the past. Any change in the visibility in the second half? Just trying to balance your comments with your historical seasonal pattern. Anything we should consider as we recast our second half outlook?
Gordon Coburn: Yes. We’re assuming that the economy stays weak, that hopefully things will stabilize. But we are not any assuming any rebound in the economy in the second half of the year. And therefore, when you look at our guidance, you’ll see that essentially we’re expecting quite modest revenue growth sequentially for the remainder of the year, and I think that, in line with expectations, the economy remains weak.
Tien-Tsin Huang – JP Morgan: Do you give specific interest income expectation for the quarter? I just want to sneak that last housekeeping question in.
Gordon Coburn: Sure. You know, for the year at this point, I think it’s probably somewhere around $13 million, and ramps up a little bit. So probably $3.2 million, $3.3 million for Q2, which is obviously down substantially from last year, but we just – our money was all invested very short term and we’ve gone corporate in the last 30 days on that. But as I mentioned, we – that short fall in interest income, we’re comfortable, covering by taking our margins up slightly from what we’ve planned. Operator, next call or question?
Operator: Thank you. Your next question comes from Moshe Katri with Cowen & Company.
Moshe Katri – Cowen & Company: Thanks. Nice quarter, Gordon and Francisco. I wanted to go just briefly in some of the demand metrics that will specifically focus on self-cycled, project-ramp decision making,. Any change from the previous quarter? And then you can talk about this by vertical, are you still comfortable with the previous guidance for Q2? Or were you expecting a drop in financial services to be offset by strengths from other verticals? Thanks.
Francisco D'Souza: Moshe, it’s Frank. A couple of things I’ll say. I don’t think we’ve seen significant changes from last quarter in terms of the earlier metrics you talked about, self-cycled, continue to be right around where they were last quarter. They’ve not elongated certainly since that time. As I said in my comments, we did see that during Q1, the majority of budgets were finalized. But at this point, even though budgets in many cases are lower or flat from last year, that spending is starting to happen now. Albeit at a, in some cases, at a more reduced level. So that creates a little bit of momentum going into the second quarter–
Gordon Coburn: And on your question of our expectations from financial services in Q2, think they’re playing out the way – exactly the way we expected. That in Q1, financial services is down materially, and we’re expecting stability but not growth in Q2. So what’s happening is outside of financial services, we experienced a stable, tough environment in Q1. We expect that to continue, and in – within financial services, we expect simply there to be a stable environment.
Moshe Katri – Cowen & Company: Okay. Good. The final question, you didn’t say anything about pricings for the quarter. Can you talk about pricing in general? Thanks.
Gordon Coburn: Yes, once you got – things are playing out pretty much the way we’d expected. Pricing was down a little bit in Q1, part of it was driven by the weakness of the European currency, and part of it was driven by some softness in financial services as well as deals getting bigger. So we’re down a little bit, but we’re right in line with what we’re expecting.
Moshe Katri – Cowen & Company: Thanks. Nice quarter.
Operator: Thank you. Your next question comes from Joseph Foresi with Janney Montgomery.
Francisco D’Souza: Hi, Joe.
Gordon Coburn: Hi, Joe.
Joseph Foresi – Janney Montgomery: Hi, guys. Again, nice job here. I was wondering if maybe you could comment a little bit. If you look at the June quarter, it’s obviously pointing up for you, guys. But versus the peer group, the rest of the peer group is guided just slightly down from the quarter. Maybe you can’t give us a lot of insight into the peer group, or maybe you could just address what you think is kind of driving your business versus them.
Francisco D'Souza: You know, Joe, it’s a lot of the stuff I talked about during my comments. And then I think that clients are going through – yes, we are in an extraordinarily tough economic environment. But at the same time, our clients are going through very significant periods of secular change and they realize that they need to continue to invest through this. Just as we are, as a company. And our clients are doing the same thing. And so while there’s a lot of scrutiny around where clients are spending, spending hasn’t disappeared entirely. So the game has become one of who can be on the ground, who can be closer to the customers, who has the right set of domain expertise, industry expertise, and relevant experience to be able to capture those types of opportunities as they emerge. Because those opportunities are out there. It’s just a question of having the feet on the street and the right sets of tools in your tool kit to be able to capture those. And we think that we’ve made investments over many, many years which align perfectly with the kind of challenges and structural changes that our clients are going through right now. And that’s why we really think that we’re poised well to grow both in the second quarter, and then continue to grow through the rest of the year.
Joseph Foresi – Janney Montgomery: Okay. And just a second question here. You’ve obviously done a little better than expected this quarter and your guidance calls for – is above the street for next quarter. I know you didn’t raise full year numbers, but you’ve kept the verbiage at least. Are you still comfortable, obviously with that type of verbiage? And is there any conservatism on your part having better than expected numbers this quarter and perhaps better next quarter on the annual guidance?
Gordon Coburn: Sure. Joe, this is Gordon. The conservatism is we’re assuming there’s no rebound in the economy. We’re assuming that the economy stays weak for the remainder of the year. Obviously if there’s a big rebound in the second half the year, I think we would benefit from that. But you know, we’re not seeing signs of that at this point. So we think keeping guidance where it is, at the – at least 10% is appropriate, if given our belief that the economy is going to stay weak.
Joseph Foresi – Janney Montgomery: Thanks, guys.
Operator: Thank you. Your next question comes from Rob Burgess with AllianceBernstein.
Rob Burgess – AllianceBernstein: Let me inquire a little bit about the margin. Can you give us an idea of whether your margin – you’re confident in your margin outlook for the year? Is it any different today than it was three months ago? I think we’ve given some of the concerns about pricing that’s out there and so on. It would be great to get an update on your confidence in your margin outlook?
Gordon Coburn: I don’t think our – the confidence has changed. Confidence was high two or three months ago when we gave our initial guidance, but confidence continues to be high. I think the favorite question this year is, "What happens with the economy, and therefore revenue?" We have enough levers in our business to – that we remain quite comfortable with our margin targets. But let me be clear. We overshot a little bit in Q1. That we don’t want to do. Obviously, March came in a little stronger than we expected. So I won’t be very firm, we fully expect to be back in our range in Q2 and for the full year.
Rob Burgess – AllianceBernstein: All right. Well, that leads you to the second part of my question. Since you exceeded the range in Q2 on margin, which was nice because you offset the non-operating issues that you had, does that make you invest more aggressively next quarter in Q2 where you incur additional expenses and investments, and maybe put you to the lower end of your margin guidance range for Q2? Is that the plan?
Gordon Coburn: I think the answer is yes, we are investing. And we will continue to invest. But I don’t think that results in us being at the lower end of our margin range. I had this modeled kind of in the middle of the range.
Rob Burgess – AllianceBernstein: Okay. All right. Great. And then as far as the outlook for the off shore market, I think there’s probably a difference between the outlook for the economy and the demand in the overall off shore market. And I guess what’s happening here is, your competitors are guiding the negative sequential growth for the June quarter, and then assuming better growth in the second half. Do you guys think it’s logical that the offshore market based on what you’ve seen in the pipeline would look better from a demand perspective in the second half than it does right now? You’re clearly gaining chairs, so you don’t need as much of a rebound in the market to help your growth. But would you – do you think it’s logical that other firms might be assuming that the off shore market gets better as the year progresses? Does that make sense to you?
Francisco D'Souza: Yes, let me try to address that. We are being conservative in our outlook for the full year. We, as Gordon said, are not assuming that there's a material change for the better or for the worse in the economic outlook through 2009. I think if that assumption were to be tested in one direction or the other there could be an impact on the second half of the year. Short of that, I'm not sure that I see any particular reason why demand for off shoring specifically, as opposed to transformational services and so on and so forth, would be stronger, let's say in the third quarter than it is in the second quarter. At this point, from what I'm seeing with customers, customers have largely got their budgets approved. They're starting to spend. We saw that in the month of March as budgets started to get approved. And we're factoring that in some of the guidance in – our guidance for Q2 reflects that spending. So I'm not sure that there's a particular catalyst in Q3 that results in incremental momentum over what we've seen in Q2.
Rob Burgess – AllianceBernstein: But you would agree that there's less fallout in the more discretionary services that are out there? So you have less of a discretionary services headwind, so to speak, today versus when you entered the beginning of the year?
Francisco D'Souza: Yes.
Gordon Coburn: Yes. I think that's true. It's already hit us. And now it's kind of stable at the lower level.
Francisco D'Souza: Exactly.
Rob Burgess – AllianceBernstein: All right. Very helpful, guys. Excellent. Thanks.
Operator: Thank you. Your next question comes from Karl Keirstead with Kaufman Brothers.
Karl Keirstead – Kaufman Brothers: Hi, good morning. Thanks for taking my call. Gordon, I have a question about how the material rupee depreciation affects your margins? In Q1 they were up about 70 basis points year-over-year on a non-GAAP basis. Yet the margin lift from the rupee depreciation is material. And as I think through this, are you investing an upside in the business? Or is there any concept where perhaps you're passing on some of this dollar denominated cost reduction to your clients in order to maintain those relationships and enhance bookings? Maybe you could comment on how you're dealing with that? Thanks.
Gordon Coburn: Sure. On a year-over-year basis – remember I absorbed meaningful wage increases in the middle of the year, which is when the rupee really started to kick in. And obviously pricing – as we previously discussed, pricing was not up in 2008, and is down slightly in Q2. Plus we had the headwind of the European currencies, which hurts us with off shore margin. So the benefit of the Indian rupee was largely absorbed by those items. And we further accelerated some investment spending where, as Francisco mentioned, we believe the reason why we are obviously delivering a very different message than many others in the industry is because of this decision we made to heavily invest in the business, and maintain fairly constant operating margins and invest for the long term. It's working.
Karl Keirstead – Kaufman Brothers: Okay. Great. And if I might sneak another one, most of your rivals are also indicating that their end clients businesses are stabilizing but they're not yet talking about any kind of actual recovery and signed bookings. I'm wondering if you could comment on what Cognizant is seeing? Are you seeing actual bookings pick up yet? Or is it still a little too early?
Francisco D'Souza: I think that the way I would answer that – Karl, it’s Frank, is that what we're seeing is that clients' budgets are finalized. So once the budget is finalized – and many cases budgets are lower than they were in 2008, in many cases they're flat. In a few cases budgets are up, but those are probably the minority. Once the budgets are finalized at whatever level, we are then able to go back to the client and work with them on their spending plans for those budgets. We didn't have that in the first part of the year. In January and February is quite as – largely budgets were not finalized it became more difficult for us to have those conversations. In March we were able to do that. So clearly, we're starting to see some pick up in terms of those conversations. And that's translating into additional revenue in March and also to Q2.
Gordon Coburn: And Karl, it's very important to note that even in Q1, financial services was clearly weak. Outside financial services, even in Q1 the business was okay. So when we look at Q2, where we're expecting to go to a couple points of sequential growth rather than one point of decline, all that it takes, mathematically, to do that is just stability in financial services. We don't need this big surge in the rest of the business.
Karl Keirstead – Kaufman Brothers: Okay. Very helpful color. Thank you both.
Gordon Coburn: Thanks, Karl.
Operator: Thank you. Your next question comes from Julio Quinteros with Goldman Sachs.
Julio Quinteros – Goldman Sachs: Hey. Great, guys. Francisco, just one quick question on the headcount that you guys had on the consulting side. It sounded like you said something like 1,700 consultants. I look at the percentage of headcount – that that is as a percentage of your, sort of, total employee base, it's still running. I think it looks like less than 2%, something along those lines. How much hire do you think that that needs to go to, to really put you on a more competitive sort of playing field more with the multinational types, the Capgemini's, the Accenture's of the world, as opposed to, sort of continuing the fight against the pure play Indian IT guys?
Francisco D'Souza: Yes. I think Julio, really in consulting we're not focused there on building large scale, but on really high quality consulting services. So it's not a business that I necessarily measure in terms of absolute or growth in headcount. It's a business that I measure more qualitatively in terms of the quality of the transformational work that we're doing. I would say that in certain sectors in industry verticals, particularly in the places where we've done acquisitions like SVT and Southern [ph], and in the places where we've built it organically over many years like in financial services, I put our consulting services up there with the best in the world. In other places, we have work to do. As a percentage of total headcount I don't see it changing materially. Maybe it goes up to 3% of total headcount. But like I said I'm much more focused there on the quality of the services we're delivering and the transformational nature of the work we're doing there.
Julio Quinteros – Goldman Sachs: Got it. And just one follow report, any sense on under what scenarios you could see an acceleration to 15% or higher growth? I guess I'm coming back to Gordon. Some comments that you made at our tech conference where you basically commented that you first adjusted out what your field is expecting from a growth perspective. And I guess now that we've seen the first half of the year in terms of what you're projecting to, how do you get to better than 10% growth if the back half of the year would have to imply something like almost 9% sequential growth? Is that scenario realistic relative to the field expectations at this point?
Gordon Coburn: I think that scenario would only be realistic if you had a very significant rebound in the global economy, and some of it based on the (inaudible) that is a highly unlikely scenario.
Julio Quinteros – Goldman Sachs: Okay. Thanks, guys. Good luck.
Operator: Thank you.
Gordon Coburn: Next.
Operator: Thank you. Your next question comes from Glenn Greene with Oppenheimer.
Glenn Greene – Oppenheimer: Hey, guys. Gordon, just a follow up on the pricing commentary. It's sort of been striking in the cycle as your commentary on the pricing relative to your peers, and I don't know if it’s a definitional communication issue. But just wanted to get a little bit more color on how you're really seeing the pricing environment sort of delineating what you're seeing on the rate card on shore, off shore, and maybe volume discounts, what not. But why is your rhetoric so much different from your peers?
Gordon Coburn: Yes. It's an interesting question. I'm not sure it is. I think, in particular, one of our peers was sending out rather mixed messages. But as people clarified their messages it seems like everyone's talking about they're expecting pricing this year to be down in the low single digits, which I think is accurate. Will there be an account once in a while that change by more than that? Yes. But for across the board, no. I think that would be unlikely. So I actually think it's more semantics than anything else. And I think, realistically, pricing will be down for the year a couple points.
Glenn Greene – Oppenheimer: Okay. This is all really mainly coming from the customer side as opposed to a competitive dynamic?
Gordon Coburn: Yes. The two are related. And see, that's one item, it's also you have a mixed shift of what was application management, which can have lower rates because of the nature of the services and development there. There are a lot of pieces in there.
Glenn Greene – Oppenheimer: Okay. Just quickly, what were the drivers of the upside revenue performance in the quarter, especially the $10 million, $11 million upside?
Gordon Coburn: It wasn't one – the way to think about it, we didn't have any shoes that dropped. I built in there that something was going to go wrong. And things kind of came in as we expected without – without that piece of bad news, which, quite often in this economy, is surprising. I would expect some more cancellations or bankruptcies here or there, but it kind of went right for us.
Glenn Greene – Oppenheimer: So was BFI – BFSI essentially on target with what you expect or was that sort of an upside performance?
Gordon Coburn: It declined a little bit less than we expect – BFSI, BFS declined for the quarter, declined a little bit less than we expected. But I would not focus just on BFS or BFSI. I think across the board, as they came in slightly better than expected. Obviously now more, by a whole lot by the size of the business.
Glenn Greene – Oppenheimer: Okay. Great. Thank you.
Gordon Coburn: I think we have time for one more.
Operator: Thank you. Your next question comes from Bryan Keane with Credit Suisse.
Francisco D’Souza: Hey, Bryan.
Bryan Keane – Credit Suisse: Hi, good morning. Francisco, I know you were talking about some stabilization in the quarter. Are there certain verticals or geographies that are more stable than others or is that a pretty sweeping comment that you can say across pretty much everything in the groups?
Francisco D'Souza: I think that, as a general statement, I would say that we saw stability across a broad section of the portfolio. If you drill down into sub-verticals I think that we're continuing to see some – I would say financial services are stable, but we don't see, as Gordon pointed out, I don't think we're going to see, we're not expecting to see, growth on a sequential basis through the rest of this year. Our technology business continues to be a challenge. But in most of the other segments they're sort of chugging along. And we expect to see growth, modest growth, throughout the rest of the year.
Bryan Keane – Credit Suisse: And what about geography there between US and Europe?
Gordon Coburn: On a constant dollar basis, and once again, we try to focus on report rather than constant dollars. On a constant dollar basis, Europe was okay in the first quarter. It grew 4% sequentially, constant dollar. But is there – is the economy impacting Europe as well as the US? Yes, certainly, especially in the UK where there's a lot of financial services.
Bryan Keane – Credit Suisse: Okay. And just a final question, how are new client contracts ramping? And is it fair to say you're gaining wallet share in the budgets of your existing strategic clients?
Francisco D'Souza: On the first question, I would say the ramp ups are generally progressing the way we expected them to progress, particularly with the hunting licenses. As you know, a lot of the customers we win are these hunting licenses. Those take their time to ramp up, and it's often difficult to predict with a great degree of accuracy how fast and how aggressively they're going to ramp up. Clients have different sets of – different propensity to change. And that impacts our ability to ramp up and the time with which we can ramp up. And I think – overall, I think the ramp ups are going the way we would have expected them to go.
Bryan Keane – Credit Suisse: But you’re not seeing a lot of delays in the ramp?
Francisco D'Souza: Nothing unusual beyond the normal delays you expect given the economic environment, let me put it that way. There were delays that were caused by the budget cycle that I've talked about. Those impacted new clients and existing clients–
Gordon Coburn: What is happening, Bryan, as the expectation of the rate of ramp is a little bit different. It’s quite healthy on the application management side, but obviously certain development stuff is not ramping as quickly because there's less development work getting done.
Bryan Keane – Credit Suisse: Okay. And then just how about the gaining wallet share of the budgets of the strategic clients?
Francisco D'Souza: Yes. I mean clearly, we’ve talked about this for some quarters now, Bryan. There has been a clear trend towards vendor consolidation within our clients. We're gaining share from smaller Second Tier players. That's been a trend that’s been going on for some quarters now and that’s accelerated. And I would say that even relative to some of the Tier Ones, we're holding our own and gaining share in many clients.
David Nelson: Thanks, Bryan.
Bryan Keane – Credit Suisse: All right. Thanks. And congratulations on a superior quarter.
Francisco D'Souza: Thank you.
David Nelson: So let me just close by thanking everyone for joining us on the call today. Just to finish up, I'd like to say that we're pleased with our financial performance during the first quarter of 2009, which is ahead of our guidance. We maintained industry leading growth despite the downturn, which validates the strength of our business model and our strategy. We look forward to talking to you again next quarter.
Operator: This concludes today's conference call. You may now disconnect.